Operator: Greetings, and welcome to indie's Q3 2025 Earnings Call. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Ashish Gupta, Investor Relations. Thank you. You may begin.
Ashish Gupta: Thank you, operator. Good afternoon. Welcome to indie's Third Quarter 2025 Earnings Call. Joining me today are Donald McClymont, indie's CEO and Co-Founder; Mark Tyndall, EVP of Corporate Development and Investor Relations; and Naixi Wu, indie's new CFO, whose appointment was announced earlier today. Donald will provide opening remarks and discuss business highlights. Mark will then provide a review of indie's Q3 results and Q4 outlook. Please note that we'll be making forward-looking statements based on current expectations and assumptions, which are subject to risks and uncertainties. These statements reflect our views only as of today and should not be relied upon as representative of views as of any subsequent date. These statements are subject to a variety of risks and uncertainties that could cause actual results to differ materially from expectations. For material risks and other important factors that could affect our financial results, please review our risk factors in our annual report on Form 10-K for the fiscal year ended December 31, 2024, as supplemented by our quarterly reports on Form 10-Q as well as other public reports with the SEC. Finally, the results and guidance discussed today are based on consolidated non-GAAP financial measures such as non-GAAP gross margin, non-GAAP operating loss, non-GAAP net loss and non-GAAP net loss per share. For a complete reconciliation to GAAP and the definition of the non-GAAP reconciling items, please see our Q3 earnings press release, which was issued in advance of this call, can be found on our website at www.indie.inc. I'll now turn the call over to Donald.
Donald McClymont: Thanks, Ashish, and welcome, everybody. Firstly, I'm very pleased to announce that Naixi Wu has been appointed Chief Financial Officer for indie effective immediately. Naixi has been with indie for the past 4.5 years and has demonstrated exceptional leadership, integrity and execution skills within our finance organization, especially during the past months in a period where we successfully executed on multiple complex transactions. Beginning her career in PwC's assurance practice, Naixi has built an exemplary track record in finance, holding various senior leadership roles in financial and SEC reporting at CalAmp, Westfield and RealD. Indie's finance team consistently demonstrates seamless collaboration and strong performance, combining expertise and focus to achieve desired business results and goals. Naixi's elevation to Chief Financial Officer is a natural progression in her leadership journey at indie, working alongside our capable and dedicated finance team, indie's financial foundation will continue to strengthen. During the next months, you will have the opportunity to meet Naixi at roadshows and investor events. Let me now review our financial performance within the context of the overall automotive market before discussing indie's key business achievements. Starting with market dynamics, we see an automotive market trending slightly better than feared across almost all regions, with China representing indie's strongest performance during the quarter. Automotive market analysts are also maintaining a positive outlook for growth trends with 2026 production now expected to increase by 0.46% from 2025 levels to approximately 91 million vehicles. This is further underpinned by the continued increase of semiconductor devices and sensor content per vehicle to support the upsurge in ADAS and automated driver safety and feature adoption, which we increasingly see across our customer base. For indie, we achieved third quarter total revenue of $53.7 million, in line with our outlook, but representing solid quarter-over-quarter performance with growth above the market. We have also just completed an annual review of our strategic backlog, which remains a very important and strong indicator for the future potential of our business looking out over the next 10 years. Recall, last year's backlog was $7.1 billion. This year, we have expanded into several adjacent markets, including quantum compute and quantum communications and also into humanoid robotics where several of our products are relevant, particularly and initially our vision processors. We now have content at leading robotics providers, figure.ai and Unitree, who seamlessly use our automotive products for their application. During the last 12 months, due entirely to industry turbulence, we suffered some program cancellations, particularly and although we are still heavily engaged with the customer, we made the decision to remove Ficosa business from the calculation as upheaval at the OEM end customer has made the timing of revenue realization less clear. However, these cancellations were more than offset by new business wins that we achieved in the same period. The strategic backlog is now at $7.4 billion compared to $7.1 billion as of a year ago. However, if we exclude Wuxi, which represented $1.3 billion, the resulting strategic backlog will be $6.1 billion. The composition of our backlog has strengthened materially due to the higher gross margin product mix following the divestment of Wuxi. ADAS and optical products will drive significantly higher gross margin profile going forward. Let me now turn to our recent business progress and key achievements. Beginning with radar, in late October, our Tier 1 radar partner, a leader in the market for whom we developed our 77 gigahertz chipset, publicly launched the next-generation Gen8 radar solution to power the future of ADAS for their global OEM customers. The Gen8 radar is their primary offering on a go-forward basis. This represents a momentous milestone in the program. Our differentiated chipset enables the Tier 1 to deliver industry-leading performance across multiple dimensions, long-range detection beyond 300 meters with ultrafine 4D angular resolution, enhanced capability in close range scenarios for applications such as automated parking, front automatic emergency braking and significantly expanded field of view, enabling new driving scenarios like autopilot in complex urban environments. The solution demonstrates superior object detection and classification across a broad range of parking and driving scenarios, with the Tier 1 noting a 30% performance improvement over their prior generation. Final validation in real-world environments is concluding as we prepare for production shipments. Computer vision capabilities within the automotive market continue to be a differentiator for ADAS and automated safety and a key driver for indie. We are seeing additional penetration of our vision solutions among key customers with our industry-leading iND880 advanced camera processor. During the quarter, we secured a design win for image signal processing for multi-camera operation in a leading self-driving Robotaxi OEM in North America for deployment in 2026. Additionally, we have captured multiple new design wins with leading electric vehicle manufacturers in China, spanning multiple applications. According to S&P Global Mobility, China's automotive market continues to lead the global market in terms of growth contribution and regional dominance. China now represents more than 1/3 of the worldwide motor vehicle production, where indie's advanced ADAS solutions are rapidly gaining adoption. From our power group, our 10-watt G2.0 wireless charging platform continues to gain broader market adoption. Highlights include start of production scheduled at Ford for Q1 2026 on the first platform with multiple subsequent vehicles expected to follow. We secured design wins at India's largest car manufacturer initially for 3 vehicle models with additional awards also expected to be forthcoming. In addition, we saw production start at an Indian joint venture of one of Europe's top OEMs. Looking further out and rounding out the portfolio, we are now actively promoting our G2.0 15- and 25-watt solutions, which are gaining very positive market traction. We have also provided the first custom samples of the connectivity IC to a leading electric vehicle manufacturer in North America, where production is expected to start in the first half of 2026. Our momentum with photonics continues with several highlights, including a design win, which will include an NRE payment for our LiDAR application and a design win in the drone segment for our [ SLG ] product. The operational alignment establishing the new photonic business unit has resulted in meaningful impact on our sales funnel. For applications outside of automotive, while the revenue is not reflected in our short-term results, we are expecting strong growth with minimal additional impact on operating expenses. Last quarter, indie announced 2 additional new distributed feedback or DFB laser products, complementing our LXM-U laser launched earlier this year. The market response has been compelling with exceptional stability for quantum key distribution and quantum computing applications. This technology leadership in photonics generated through automotive LiDAR development is exposing indie to exciting new customers across quantum and industrial sensing markets. I'll now turn the call over to Mark for a review of our Q3 results and Q4 outlook.
Mark Tyndall: Thank you, Donald, and good afternoon, everyone. Indie's third quarter revenue was $53.7 million with non-GAAP gross margin of 49.6%, in line with our outlook. Non-GAAP operating expenses totaled $37.9 million, consistent with our outlook. As a result, our third quarter non-GAAP operating loss was $11.3 million compared to $14.5 million last quarter and $16.8 million a year ago, demonstrating our continued progress towards achieving profitability. With net interest expense of $2 million, our net loss was $13.3 million and loss per share was $0.07 on a base of 217.4 million shares. Turning to the balance sheet. We exited the quarter with total cash, including restricted cash of $171.2 million, down $31.7 million from $202.9 million in the second quarter. The reduction in cash includes $17.7 million paid in connection with a recent M&A transaction. Turning to the M&A transaction. On September 26, 2025, ahead of the original schedule, indie closed the acquisition of emotion3D, a company based in Vienna, Austria, specializing in advanced AI perception software algorithms for automotive in-cabin sensing and ADAS. Their expertise in software combines perfectly with our vision processor SoC portfolio, adding a software royalty to the offering. Together, we are already engaging with major Tier 1 and OEM customers where we expect we can secure and announce the first awards in the coming months. Additionally, on October 28, we announced that Indie entered into an asset purchase agreement with United Faith Auto-Engineering, a publicly listed company in China to sell our entire outstanding equity interest in Wuxi indie micro for gross proceeds of approximately $135 million, payable in cash, net of applicable local taxes of roughly 10% upon closing. However, I do want to set realistic expectations regarding the closing time line. The transaction is subject to customary closing conditions for a transaction of this type, including shareholder approval from United Faith and receipt of all required regulatory approvals in China, including both Shenzhen Stock Exchange and CSRC. Based on precedent transactions and discussions with our advisers, we expect closing in late 2026, though the exact timing will be determined by the regulatory approval process. Between now and closing, once it is determined that the transaction meets the requisite criteria under applicable accounting guidance, the Wuxi operation will be reported as discontinued operations within our consolidated financial statements. Further, the sale of Wuxi will improve our margin profile and lower our quarterly breakeven threshold while simultaneously strengthening our balance sheet. While we exit our equity position in Wuxi, China remains an important market for indie, supported by our strong independent and well-established sales channel, including local regional support. Moving to the outlook for the fourth quarter of 2025. With ever-increasing demand in the semiconductor market driven by AI, we are beginning to see some short-term disruptions to the back end of our manufacturing flow. Specifically, there are shortages in the supply of packaged substrates, which will impact our ability to deliver the full demand for Q4. In spite of that, we expect to continue to grow and deliver revenue within the range of $54 million to $60 million or $57 million at the midpoint, with an estimated shortfall of about $5 million due to the substrate shortage. We expect this supply issue to be resolved during Q1 2026. Based on the anticipated product mix, we expect our non-GAAP gross margin to be in the range of 47%, driven by unfavorable product mix and margin pressure on the Wuxi business. We continue the execution of certain targeted initiatives aimed at reducing operating expenses and accelerating our path to profitability. I'm pleased to report that we remain on track. Progress in Q3 has been encouraging and is consistent with our communicated targets. We continue to expect to achieve our stated objectives within the anticipated time frame. This reflects strong execution across the organization and continued commitment to operational discipline and long-term value creation. However, as we now move closer to the production ramp of Radar and some of our large and vision design wins, our customers are demanding an enhanced second sourcing strategy with requirements for production localization. This is requiring additional OpEx investment in the next quarters to qualify these products in fabs and test houses outside of Taiwan and China. Taking these into account, for Q4, we now expect our non-GAAP OpEx to be $36.5 million, down $1.5 million from Q3. Below the line, we expect net interest expense of approximately $2.2 million with no tax expenses. Assuming the midpoint of the revenue ranges and with a base of 220 million shares, we expect a $0.07 net loss per share. From a financial perspective, with our strong focus on operating expenses, further optimization of our capital structure and our solid balance sheet, including anticipated proceeds from the sale of Wuxi, indie is well positioned to continue developing differentiated products for the automotive, ADAS and adjacent industrial markets. This balanced approach will support our return to strong and profitable growth as design wins ramp as we enter 2026. With that, I'll turn the call back to Donald for closing remarks.
Donald McClymont: Thanks, Mark. Our core business is solid and growing as evidenced by our third quarter results and positive outlook. Radar and vision programs remain on track as evidenced by our Tier 1 partners' recent release of their advanced Gen8 radar product and the fundamental trend of increasing semiconductor content in vehicles continues unabated. With the addition of new high-growth markets such as Quantum and robotics, indie's technology leadership and expanding product portfolio ensure we are well positioned to drive continued growth. No other semiconductor company has a product portfolio as advanced as indie's to meet the diverse needs of these markets. That concludes our prepared remarks. Operator, please open the line for questions.
Operator: [Operator Instructions] First question we have is from Cody Acree of The Benchmark Company.
Cody Grant Acree: Maybe if we can, Donald, dig into your supply shortages a bit. Can you maybe just explain how this happened, when this happened, when you started to see this? And when does this unwind? And do you get this revenue back as supply starts to become available?
Donald McClymont: I mean going in reverse order, for sure, we get the revenue back. It's just an inconvenience at the moment because of the short-term shortage. It's something that came fairly suddenly to the market. It wasn't something that we were able to anticipate. It was kind of a shock to the market there. Several other companies out there who have been placed in the same situation. If you look at the reports of some of the other companies, Intel, in particular, they called this out a few weeks ago. So it's something that we expect will resolve in Q1, and it's just basically a short-term thing that we've got to work through.
Cody Grant Acree: And can you talk about your gross margin declines into Q4? You mentioned Wuxi. What's happening there sequentially?
Donald McClymont: It's just mix really. The products that we sell that use this particular kind of package are very high margin. And so because we have a small shortfall in the market that we can't deliver to, that's the biggest impact on the margin mix. And then because of that, Wuxi is a larger percentage of the roll-up and causes the margin percentage decay.
Cody Grant Acree: Excellent. And then lastly, on the Radar side. Can you just talk about what's happened in the last 90 days? And what's your visibility? And what does this ramp look like as we look into next year?
Donald McClymont: Yes. I mean it's been a world win for us. We've had so much activity in the last 90 days. It caused us to accelerate our plans to bring up the second sourcing procedures for what we're bringing into play here. It costs us a little bit of short-term OpEx in the short run, but it's a great problem to have. We're having to prepare to deploy into multiple geographical regions with multiple different supply chain requirements, basically China for China, not China for not China. And the sort of level of support and effort that we're having to put into this now is enormous the fact that the customer also announced the product is a ringing endorsement of where we are in the process. These things don't go public unless there's a high degree of certainty that stuff is going to happen. So it's been a crazy 90 days, I would say, Cody, as we've gone through the process of launching now.
Cody Grant Acree: Any thoughts on next year's contribution?
Donald McClymont: I mean I think we're not really going to make any change to our outlook on life for '26. We still feel that there could be a very aggressive ramp in '26. That together, coupled with our vision processors, we're preparing, again, as I said, because of the supply chain issues that we're having to address. We're having -- we're preparing to prepare for a big ramp. We're already in the manufacturing process. So we feel that we've got a lot of good stuff coming for '26.
Operator: The next question we have is from Suji Desilva of ROTH Capital Partners.
Sujeeva De Silva: Best of luck in the new role, Naixi. So the products you've been talking about for the quantum laser market, can you talk about if there's any visibility to design wins? Or is that still in the kind of development phase? Any comment there on timing of when that...
Donald McClymont: No, I mean we've actually been shipping production already. I mean the year-to-date or the projection for the whole year is probably a little bit less than $1 million worth of business. Given that it didn't start at the beginning of the year, it started late Q2, really, it's accelerating very rapidly. And I think if you look at the reports of the public quantum guys, you're seeing them raising their numbers. So it's a new market for us. We're learning as we go, but it does seem very exciting, very dynamic. It's quite a fragmented market. So we have to cover quite a lot of bases and customers and so forth. But certainly, the deployments can go quite very quickly to ship parts off the shelf basically off the rack.
Sujeeva De Silva: Okay. Great. And then the backlog growth you saw year-over-year, can you talk about what programs are driving the increases in backlog? Is it more Radar vision opportunity or expansion of scope of programs? Or any thoughts there?
Donald McClymont: I mean, expansion of scope of the Radar program for sure, and then some heavier vision programs, which we added to the portfolio.
Sujeeva De Silva: Okay. And lastly, on the Vision programs, can you talk about the timing of when those would start to contribute to revenue? I think there are ones coming on very quickly, but comments on the.
Donald McClymont: Yes. I mean Vision is also ramping now, and we have some fairly significant volume in it already. We've added a bunch of new wins in China, which ramped very quickly. And there are certain sort of dynamics in the market that, in many cases, the programs that are new to us should ramp actually pretty quickly through '26. So we've -- again, it's been a one quarter.
Operator: The next question we have is from Craig Ellis of B. Riley Securities.
Craig Ellis: Donald, congratulations on the growth in the backlog year-on-year. I wanted to start there and just see if you could give us some color on what some of the primary contributors are to backlog Radar versus ADAS? And then I think you mentioned that there's some non-auto stuff in there, maybe photonics and quantum. Help us understand how big that is.
Donald McClymont: Yes. So primarily, it is centered around our ADAS products, both Radar and Vision. We had some bigger discrete wins at Vision, which we'll talk about in the fullness of time once we're able to. There is -- we have added a little bit for the quantum-related optics products, still small. But now that we have running revenue, of course, we're kind of compelled to anyway. we're still quite conservative on the market growth and the amount of money that we have in there or assumed in there. It's very small compared to what we're committing to on the ADAS products. But we are excited about the market. It's moving extremely quickly. And that coupled with the fact that we're now seeing a lot of interest from the humanoid robotics market for our product base means that there are some dynamic market growth factors there, which we hadn't anticipated and are unexpected positives, I would say.
Craig Ellis: Coming back to Radar and just going a little bit deeper on where Wuxi was. It's nice to hear that your primary customer has identified that the product will ramp. Can you help us understand beyond just color on multi-geography ramp potential, what type of customers they may be engaged with that could give us a sense of the type of volume we would be talking about when this starts going out in volume?
Donald McClymont: I mean they are one of the largest vendors on the planet in the space. And so their product portfolio addresses everything from the highest volume passenger cars through commercial vehicles through high-end vehicles and heavy industry. So it's a very, very high-volume market indeed. We expect to get a very significant market share of the entire radar market through this program. And again, that's why we're preparing our supply chain and really had to double down during the last quarter in terms of bringing up second sources earlier than we thought we would.
Craig Ellis: Got it. And then if I could squeeze in one more for Mark, the software acquisition, any visibility on the degree to which that could contribute in either fourth quarter or through the year next year and benefit gross margin?
Mark Tyndall: Yes. So yes, so the acquisition is off to a very good start, Craig, integration ongoing. We've already engaged with the customers -- with the main Tier 1 customers for camera, OMS, BMS, combining our device with their software. So it's probably too early to have a synergy, revenue in Q4. But certainly, next year, we will see some sales synergy there. It's already running in the order of approximately $1 million a quarter for 2025, and that should increase going through 2026.
Operator: The next question we have is from Anthony Stoss of Craig-Hallum.
Anthony Stoss: I wanted to focus in on your comments about the North American Robotaxi partner for a 2026 launch. Is that Radar, LiDAR? Anything you can give there? And then I have a couple of follow-ups.
Donald McClymont: It's our new vision processor.
Anthony Stoss: Got it. And then I think in the last quarterly call, you talked about expanding relationship with BYD, and I think there's a Vision program that was supposed to launch this quarter, Q4. Maybe you can just update us. I know you made some comments about Chinese wins on the call, but love to hear more.
Donald McClymont: Yes. I mean we're engaged with all of the name brand Chinese OEMs. We have wins with many of them, and we're making the prescribed progress that we expected through this quarter. So I mean, we're generally pretty happy with the way the market is. And I mean, the sales channel that remains in China, net of Wuxi is doing a phenomenal job of deploying our new products into that space. And so we do expect significant revenue from that geography as time progresses.
Anthony Stoss: Got it. And then my last question also related to the Radar ramp. you talked about bringing up a second supplier earlier than anticipated. Is your partner, are the automakers moving more towards intermodal changes out and putting in [ ADAS NAV ] solution? Or why do you need to bring out a second supplier so quickly?
Donald McClymont: I mean, heavily, it's been driven by geographical compatibility. So we do need and for certain OEMs to ensure that we have a supply chain that is not including China and Taiwan. And we were well positioned to do that, but we had to accelerate some of our plans and spend some of the manufacturing tooling during this quarter and next quarter in order to make that happen.
Operator: The next question we have is from Jonathan Tanwanteng of CJS Securities.
Jonathan Tanwanteng: I was wondering what gives you confidence that the substrate and packaging issue will be resolved by Q1, number one? And number two, have you thought about the indirect impacts of shortages across the industry and if that might impact auto numbers overall and not just including substrates, but also like the aluminum plant outage. We've heard third things about Xperia and China. Are those considered in the outlook and if those might flow through you in some way?
Donald McClymont: Well, taking the first part. I mean we -- I mean, we're in the process of bringing up several second sources. As I mentioned before, just as a matter of form, we have to accelerate our procedure, particularly for these organic substrates that are used in the flip chip packages that we use. So the discussions and ongoing engagement with the new vendors has been going well. I would say this is, let's say, a corner of the industry specific, where the vendors who are heavily exposed to large language model ICs from NVIDIA and Co are redirecting capacity over there. Even some very large brand names are struggling to get what they want. So it was just a kind of a fallout of that. So you're right, it's an indirect impact. I don't necessarily see that we have a long-term impact from anything that is out there right now, the [ Nia ] thing aside with Volkswagen, particular, of course, that was public. But I do expect that, that will rectify itself in short order. It doesn't feel like a general industry shortage like we saw post pandemic.
Jonathan Tanwanteng: Okay. Great. That's helpful. And then just to dig a little deeper there. Is the pricing in ramping more sources for chip substrate going to be an issue, especially if your volumes next year are going to be better than maybe you thought with these -- your customers requiring second sources for your production?
Donald McClymont: Yes. I mean the second source helps us give price leverage into our supply chain. So I mean, it was something we would have done in the fullness of time anyway. We were -- our hand was forced really by some unexpected positive news really to do it earlier. And it really should give us leverage as we go forward as we're able to play wafer foundry suppliers off against each other and likewise with packaging and test houses that make up the back end of the product.
Jonathan Tanwanteng: Okay. Great. If I could sneak in one more. What is the margin and OpEx without Wuxi look like? And what does the breakeven level look like in revenue?
Donald McClymont: I mean we don't really segment it out. I mean we did give directionally indication that the Wuxi business was significantly lower margin than the rest. As we go forward and deploy our ADAS products, we're still committed to getting to the 60% gross margin level of the target model that we set ourselves.
Operator: At this time, there are no further questions. And I would like to turn the floor back over to management for closing remarks.
Donald McClymont: Well, thanks, everybody. Thanks for attending the call and looking forward to seeing you at the conferences over the coming week, where you'll meet myself and Mark and Naixi.
Operator: Ladies and gentlemen, that concludes this conference. Thank you for joining us. You may now disconnect your lines.